Analysts : Reik Reed – Robert W. Baird & Co., Inc. Brian Drab – William Blair & Company, LLC Chris Quilty – Raymond James Andrew Abrams – Avian Securities, LLC. Anthony Kure – Keybanc Capital Markets Andy Young – Thomas Weisel Partners Gregory M. Macosko – Lord Abbett & Co. Eric Indy – First Pacific Advisors
Operator: I would like to inform all participants that your lines have been placed on a listen only mode until the question and answer portion of today’s conference call. The call is also being recorded. If you have any objections you may disconnect. (Operator Instructions) I would now like to turn the call over to Mr. Rich Cleys.
Richard P. Cleys : Thank you for joining us for the ScanSource conference call to discuss financial results for the quarter ended June 30, 2009. My name is Rich Cleys and with me are Scott Benbenek, President of Worldwide Operations and Mike Baur, CEO of ScanSource. We will review with you the quarter’s operating result and then take your questions. This conference call contains certain comments which are forward-looking statements that involve risks and uncertainties. These statements are subject to the Safe Harbor created by the Private Securities Litigation Reform Act of 1995. Any number of important factors could cause actual results to differ materially from anticipated results. For more information concerning factors that could cause such a difference, see the company’s annual report on Form 10K for the year ended June 30, 2008 filed with the Securities & Exchange Commission. This afternoon the company released results for our fourth quarter ended June 30, 2009. I will start our discussion by providing overall sales and operating results. For the quarter ended June 30, 2009 the company generated worldwide net sales of $441 million. This represents a 20.4% decrease from the prior year same quarter revenue. However, sequentially or compared to our third quarter revenues increased 13.2%. Late in the quarter we did see strong sales results including the return of some larger project driven deals in North America that had been notably absent over the past six months. Mike will comment on each business unit’s results and outlook later in this call. In our geographic segments, sales originating from our North American distribution segment decreased by 19.3% in comparison to the prior year quarter while the international segment saw sales decrease by 24.8% over the same period. When measured in local currency, the international segment sales decreased by 15.9% as the US dollar strengthened significantly between the two comparable periods. Within our product lines we experienced a 25.9% decrease in worldwide sale of our POS, bar coding and securities product categories over the comparative prior year quarter. These product categories represent 60.5% of our total sales for the current quarter with the remaining 39.5% of our total sales originating from communication products. Our communication businesses experienced a decreased of 10% in comparison to the prior year quarter. For the second consecutive quarter gross margin expressed as a percentage of sales has shown significant improvement in comparison to the prior year period. Gross margin as a percentage increased to 12.1% for the June 2009 quarter compared to 10.6% for the prior year quarter. I will briefly discuss some of the drivers of this favorability during the June quarter. First, the company continued to benefit from the strategic inventory purchases initiated in Europe during the March quarter that were discussed on last quarter’s conference call. This buy in opportunity was designed to take advantage of anticipated vendor price increases introduced late in the March quarter. Accordingly, as the underlying inventory associated with these purchases was liquidated in the March and June quarters we recognized higher than normal gross margins on the related inventory sales. Also, during the June quarter in our international business we received the benefit from the recognition and collection of a number of aged vendor receivables. Important to point out that both of these items are onetime benefits. A more normalized margin for the June quarter approximates 10.8%. Operating expenses decreased slight in the current quarter to $33.5 million versus $34.4 million in the comparable prior year period. While the company was able to reduce SG&A expenses below prior year dollar level operating expenses as a percentage of net sales increased to 7.59% in the current quarter compared to 6.2% in the comparative prior year period. The company continues to benefit from the results of our previously discussed cost reduction initiative that was implemented in January which has impacted all aspects of our business. The economic downturn has allowed our organization the time to reexamine and rationalize every aspect of our cost structure. In some cases the savings yielded from this program were permitted to fall to the bottom line while in other cases we chose to reallocate or invest these savings in various opportunities for which we believe have the greatest potential for future growth. Third quarter cost reduction savings along with onetime gross margin benefits allowed us to implement programs to incent long term demand and to reward employees. The incremental cost for these programs is approximately $2 million. Operating income for the June 2009 quarter decreased to $20 million, a 17.4% decrease from operating income in the comparative prior year quarter of $24.2 million. Expressed as a percentage of sales, operating income was 4.5% in the current quarter compared to 4.4% for the prior period. The improvement reflects stronger margins and lower operating expenses during the quarter as discussed previously. Interest expense was $400,000 in the current quarter compared to $1 million for the prior year quarter. There was no outstanding balance on our revolving credit facility at any point during the June quarter. The effective tax rate for the June 2009 quarter decreased to 37.4% compared with the prior year quarter of 39%. This improvement is largely attributable to a favorable state income tax ruling which had the effect of decreasing our effective tax rate for the quarter and fiscal year. Our return on invested capital was approximately 18.9% for the quarter which is slightly below our historical range of 20% to 25% but improved from the March quarter ROIC of 14%. Turning to the balance sheet, inventory turned 7.1 times during the quarter which was higher than both the 5.7 inventory turns generated in March 2009 and 6.9 turns in the comparative quarter last year. As turns increased and related inventory balances were lower than expected, paid for inventory days were -2.5 days compared to 5.4 days for the March 2009 quarter and 2.7 days for the comparative prior year quarter. June ending inventory was lower than targeted levels due to our strong June sales result and increases in lead times from certain manufacturers. With that in mind, we expect to have higher inventory levels in the coming months. The number of days in receivables, DSO, was 59 at June 30, 2009 up slightly from the 58 days in the sequential quarter and consistent with the 59 days outstanding for the comparative quarter. While cautious about the economic environment, we continue to believe that our underwriting policy is appropriate under the current conditions and our allowance for doubtful accounts is adequate as of June 30, 2009. Our liquidity position is strong. The company has over $127 million of cash and cash equivalents on hand at June 30, 2009 compared to $114 million on hand at March 31, 2009 and $15 million at June 30, 2008. For the year-to-date fiscal period ending June 30, 2009 the company has generated over $143 million of cash flow from operations. Our total interest bearing debt was $30.4 million at June 30, 2009 compared with $64.3 million at June 30, 2008. In addition, at June 30, 2009 there was $250 million of available funds for borrowing under our revolving credit facility. Mike will now give you an update on our business.
Michael L. Baur : We were very pleased with the results of the June quarter based on our published guidance and compared to the results of the March quarter. For the June quarter our revenue was up 13.2% compared to March and our net income was up 35.5% compared to March 2009. More importantly, we believe ScanSource is well positioned for growth as the world economy recovers. In the June quarter we saw strong growth in our North America security business unit and significant revenue improvement in our communication units. Our teams have done an excellent job of managing costs while still providing the best value added offers for specialty distribution companies. Our balance sheet strength should allow us to increase service levels to our resellers and vendors by ensuring adequate supply of the most popular products and by offering appropriate level of credit terms to our customers. Now, I’ll comment on each of our reporting segments. North American distribution which includes sales in to the United States and Canada posted sales of $361.3 million, a decrease of 19.3% for the June quarter on year-over-year basis. However, sales grew 15.3% sequentially for March. Our North American discussion will start with Catalyst Telecom. The Catalyst sales unit posted strong sales results after hitting the bottom in March. The results for the June quarter were the best since September of last year. In particular, we saw a return to more historic buying patterns from our customers especially in our Avaya enterprise business. Our Avaya results were better than we had planned and reflect the significant progress that Avaya’s management team has made over the last three quarters. We expect Avaya and Catalyst to take market share as we plan for the next few quarters. Catalyst also posted record sales with Juniper and Aruba as customers recognized the value added services provided by specialty distribution. Next up is ScanSource Communications, in our ScanSource Communications unit we also had strong revenue quarter as they exceeded our expectations with the highest sales in three quarters the POLYCOM video business led the way for ScanSource Communications and the POLYCOM voice business also made a strong recovery. Some of the sales strength reflected certain deals that were delayed earlier this year. In addition, we believe we gained market share in POLYCOM in both video and voice products by aggressive sales and marketing efforts. In addition, our PLANTRONICS headset business also had its best result since September of ’08. Next, I’ll discuss the North American POS and barcode business units. This sales team exceeded our internal plan and showed quarter-over-quarter growth though revenues are still down substantially year-over-year. With only a few exceptions all POS and barcode vendors were down similarly. The quarter ended very strong and we saw an increase in large deals compared to the previous quarter. We ended the quarter with lower inventory levels than normal and we will be working closely with our vendors to minimize any service level disruptions by increasing our inventory levels during the September quarter. Our sales and merchandising teams have done a great job balancing gross margins, inventory levels and value added services while dealing with the economic pressures affecting our vendors and our customers. Our strategy of providing value added services to vendors and resellers is still the same even if some vendors have allowed broad line distributors to unfairly compete with specialty distribution. It is our belief that as the economy continues to recovery our vendors will be more diligent regarding the role of distribution and the indirect channel. ScanSource POS and barcode annual partner conference will be held in September and will provide an ideal place for vendors and customers to interact and share growth ideas for next year. We believe the strong relationship we have with our partners will allow ScanSource to continue to be the leading POS and barcode distributor in North America. I will now update you on our third technology area, ScanSource Security. The security team had a record quarter as they easily blew past our internal plan and gained market share against competition. This team had record results from key vendors: Panasonic; Axcess; Sony; and Zebra Cards. In addition our newest vendors Motorola Wireless Broadband, Ruckus Wireless and Cisco Security posted outstanding sales results. Each of our product categories performed very well as we had the right mix of aggressive sales efforts and strong inventory positions. Our second reporting segment is international distribution. Our international business which includes Europe, Latin America and Mexico posted sales of $79.9 million, a decrease of 24.8% compared to last year. However, international did grow 4.4% sequentially. When measured on a local currency basis, our international business decreased by 15.9% on a year-over-year basis. In our Europe POS and barcode business we had a sales decline from last year and were disappointed with our results compared to the March quarter. As we discussed last quarter our key vendors passed through price increases which we believe has hurt demand for their products. Any large deals we closed were offset by weakness in other customers so we were basically flat from a March to June perspective. With the exception of Italy, all major countries in Europe were down for the June quarter on a year-over-year basis. However, compared to last quarter the UK and Spain did show positive growth. The good news is that ScanSource Europe continued to benefit from opportunistic buying as prices were raised across the board. This continued to help our bottom line but we would have preferred to have revenue growth. In our ScanSource Europe Communications business we posted good results both quarterly and year-to-year. We expect this growth to continue as we build out our sales, business development and management team. Our key vendors continue to support our value add strategy and have provided significant assistance in training and educating our UK based sales and technical team. Now, turning to Latin America and Mexico, this sales unit experienced a challenge quarter with similar results as Europe. The business declined yearly and was flat quarter-to-quarter. Overall, Latin America has been negatively impacted by the economic recession and the currency devaluation experienced in various countries. The most significant impact was felt in New Mexico as we experienced the effect of the Swine Flu in addition to currency devaluation and economic recession. Now, I’ll conclude this part of our call with some closing comments. First, I want to thank our vendors and customers for their support and especially thank our ScanSource employees worldwide who have persevered and worked tirelessly during the most challenging year in our company’s history. Looking forward, we believe total revenues for the September quarter could range from $445 million to $465 million and our earnings per share could range from $0.39 to $0.43 per diluted share. At this time we’ll be glad to answer your questions.
Operator: (Operator Instructions) Your first question comes from Reik Reed – Robert W. Baird & Co., Inc.
Reik Reed – Robert W. Baird & Co., Inc.: Mike, could you maybe spend a little more time on the telephony business in Europe? How is MTV ramping and I think last quarter you talked about one of the next things to happen is maybe approval for higher end products. Can you just talk about how they’re situation for that approval process?
Michael L. Baur : As a matter of fact, we did receive that approval near the end of the March quarter and throughout the June quarter our plans have been to get our employees trained and certified so we can appropriately support our customers who want to purchase those products. So, the last three or four months have been in that mode of getting trained and certified. It’s a requirement that Avaya expects from all their distributors. We feel very good about our capabilities now. As I referenced, Avaya’s been excellent in working with us on that. We’ve also brought some of our talent and expertise from our Catalyst unit here in the states to our business over in the UK. So, we’re providing them with some expertise and some tools and some ideas for how we were so successful with Avaya Enterprise in the US. So, we are feeling good about the trajectory of the Avaya business in the UK and expect that to continue.
Reik Reed – Robert W. Baird & Co., Inc.: Then just generally on the telephony side you talked about resolution with respect to the pricing channel conflicts that have been out there. Two questions, is one do you feel like that’s 100% behind you and two, with the improvement that you saw, how much of it is related to that issue versus just the Nortel situation?
Michael L. Baur : Again, regarding Avaya’s price issue, I assume which is what we’re talking about in the US, right?
Reik Reed – Robert W. Baird & Co., Inc.: Right.
Michael L. Baur : Those issues as we said even last quarter began to resolve themselves and led us to basically call a bottom in our Catalyst business back in the March quarter and indeed that came to fruition because our enterprise business was very strong on a quarter-to-quarter sequential basis in June and it would not have been that way if there were still any significant pricing issues. So, I would say at this point in time we feel very good about the resolution of these issues, our partners do. We had our annual Avaya partner conference in May and it was well attended. Our partners all felt like things were starting to turn around for them. I think we’re really feeling the impact of a new management team that was in place now a year ago I guess May. They are really starting to give us and the channel more comfort in the overall direction that Avaya has said from the very beginning would be a channel centered direction. I think in general it’s better resolution of the pricing as you suggested but also just an overall strong feeling that Avaya is a key player long term especially with the way the Nortel situation has played out.
Reik Reed – Robert W. Baird & Co., Inc.: So you’re suggesting with that they’re kind of getting back to that traditional model of actively trying to move more business your direction or to the in direct channel?
Michael L. Baur : They wouldn’t say it quite that way so I won’t either. I would say it’s more they’ve eliminated any road blocks for the channel being more successful than they were a year ago. It’s less of their moving business over as they’ve eliminated a lot of the obstacles we had all of 2008. I would say that’s a more accurate representation.
Reik Reed – Robert W. Baird & Co., Inc.: Then just going through the pricing situation in Europe, how much of that price increase is now reflected in your inventory? Or, maybe said a different way, has all of the favorable inventory been depleted? I think what I’m trying to drive at is you had a nice result last quarter, as a result of that you were suggesting that things might add back. Obviously, that inventory stayed with you and helped out this quarter. Is that something where it still has another half quarter or so to go or is that done?
Richard P. Cleys : The old price inventory has turned now so we don’t have any more of that benefit coming through.
Operator: Your next question comes from Brian Drab – William Blair & Company, LLC.
Brian Drab – William Blair & Company, LLC: First question, regarding Nortel, can you maybe quantify or maybe just speak about it qualitatively how the acquisition of Nortel’s Enterprise Solutions by Avaya is going to affect your business?
Michael L. Baur : Well I guess Brian it’s all yet to be played out. I think in general if we talk about where we are relative to trying to recruit Nortel resellers I can give you a little bit of color there because I think that may be relative. For the last nine months we’ve had an intense focus, Avaya and Catalyst on recruiting disenchanted Nortel resellers. I can tell you this, it’s very hard to move a reseller over to another line, they’re not going to easily be able to do it, there’s a lot of technical issues meaning they have to have new people trained and certified. So, there’s a lot of investment that it takes to move a reseller from one brand, whether it’s Nortel, Avaya or others to another. I think having seen that, that it’s difficult to move somebody substantially in a short period of time, if indeed Avaya does capture the Nortel business then we would hope that would mean there would be some opportunities down the road for our business to sell to those Nortel resellers Nortel products. I just think it’s more likely that that’s the way for quicker revenues than it will be to move them to Avaya.
Brian Drab – William Blair & Company, LLC: You talked about some sequential growth rates in the quarter, I’m not sure if I missed it but what did Catalyst grow sequentially from the third to fourth quarters?
Richard P. Cleys : We don’t disclose Catalyst as an individual [inaudible]. I think what I had mentioned was the overall communication business was down 10% year-over-year and then sequentially – let me calculate that and get back to you on that.
Brian Drab – William Blair & Company, LLC: Then, just the last question, are you expecting some significant impact from seasonal weakness in Europe in your fiscal first quarter or do you expect that that business will stay flat as you kind of indicated it had recently in your press release?
Michael L. Baur : I think if you look at the midpoint of our guidance at $455 million for the quarter, I would say that reflects our caution about the September quarter in regards to international, especially Europe. This is always their most challenging quarter with everybody on holiday and we were laughing with our guys the other day, Scott and I were, we were debating whether everybody is really still going on holiday in Europe and apparently they still are. We were hoping some of them would stay home and stay at work but apparently customers, end users are still taking their normal holiday time off, they just may not be going as far. But, I think we have that embedded in our forecast.
Richard P. Cleys : The sequential growth for the phone business is 20.7.
Operator: Your next question comes from Chris Quilty – Raymond James.
Chris Quilty – Raymond James: A quick question for you Rich, I may have missed it my phone blanked out when you were providing the guidance, but did you give explicit gross margin range for the upcoming quarter now that the favorable inventory has [inaudible] down?
Richard P. Cleys : What I indicated in the comments is that a normalized gross margin for June would have been about 10.8%. Inherent with our guidance I’d be looking at about 3.9 of operating profit.
Chris Quilty – Raymond James: So the other part of it is, we had talked last year with the addition of some of the video products, acquisitions and some of the security business you felt like you had moved up to a little bit more of a permanently higher plateau in both gross margins and at the operating margin. Does that still hold economic issues aside?
Richard P. Cleys : I think Chris inherent in the 10.8% we still, even though we’ve seen in influx of some of the larger deals in North America, we’re nowhere near at the levels we would have been a year ago in North America and certainly not in our international business. As we’ve said before, our margins will go down as we get those bigger deals with less services. So, a 10.8% kind of targeted margin is certainly not reflective of a full load of larger deals.
Chris Quilty – Raymond James: Any foreign exchange issues or hedging issues that we should be concerned about on a go forward basis?
Richard P. Cleys : I think right now in terms of the way the vendors treat us, they’re treating everyone else the same way in the currency they sell in so competitively we’re on an even playing field and we should be able to handle it.
Chris Quilty – Raymond James: Final question here, you getting close enough now were you’re going to start breaking out that security business for us?
Richard P. Cleys : I’ll let Mike answer that one.
Michael L. Baur : You know yes, I think we are but we’ll wait another quarter and see how we do.
Operator: Your next question comes from Andrew Abrams – Avian Securities, LLC.
Andrew Abrams – Avian Securities, LLC.: I wonder if you could characterize your first quarter guidance a little bit for us and kind of push us towards the increase being Avaya oriented or AIDC oriented, or how does it play out? Are you seeing or expecting enough of an improvement in AIDC by itself or is this kind of a combination in both as Avaya pushes more in to the distribution side?
Michael L. Baur : I think as we look at our guidance at the midpoint you’ve got movement in both areas really. We’ve got growth in again quarter-to-quarter barcode, POS and in communications is implied in that. That is kind of what we see.
Andrew Abrams – Avian Securities, LLC.: In the communication side, would this be the kind of normal Avaya fourth quarter that they have a tendency to do automatically regardless of what’s going on on the macro side or is this just the general trend in Avaya’s business recently.
Michael L. Baur : I would say the good news about being able to give you guidance is we’re already in to August a good ways. The challenge is that historically as you were referencing, September outside of last year is always a strong quarter for Avaya because it’s their fiscal year end. So, I would say we’re assuming in our guidance that we would have a strong September quarter with Avaya, yes.
Operator: Your next question comes from Anthony Kure – Keybanc Capital Markets.
Anthony Kure – Keybanc Capital Markets: Just a quick question, I’m hoping maybe you can drill down on your comments around the unfair practices by broad line distributors? I think it was in the context of POS barcode segment, maybe you can give us a little color on that?
Michael L. Baur : I think in general we’ve seen that during this economic recession some manufacturers have new management teams in place and different views about the role of distribution so we’ve been disappointed that there have been some vendors changing their policy that historically have said we need to have value added special distribution. We’ve always had broad line distribution competitors but there seems to be some disregard for the role they should really play which should be being in incremental business not stealing business from specialty distributors who have invested significantly in infrastructure and services that we think are appropriate. We’re just signaling that especially in our barcode and POS business that we’ve seen more back sliding among certain vendors over the last year. We’re starting to get to the point where we need to start talking about it internally and with those vendors. We wanted to make mention of it today because it is an issue for us.
Anthony Kure – Keybanc Capital Markets: Then maybe if you can give a little – I know end markets are tough for you to discuss but just looking at what the retailers are doing as far as their sales, have they given you any indication or maybe your resellers that sell in to resale primarily, how dependent they are or how they’re looking towards maybe back to school sales or Christmas coming up here whether or not that is kind of the leverage point or the key point as to whether or not 2010 on the calendar basis will be a better IT spend year in that end market?
Michael L. Baur : Yes, I don’t have a lot to offer there. Tony, I think what I’m looking forward to is we’ve got our POS and barcode North America partner conference coming up in a few weeks in mid September and we hope to glean some of that information from them and then we can better plan for the December quarter. Clearly, the retail business is mixed, we read the same report that you guys do from the end market and there’s places that are doing well and others that aren’t. We have seen even in the June quarter, we saw some of our point of sale vendors actually do pretty decent and others continue to do very poorly. I think it is very spotty, I think it depends on whether the products being sold are more what we use to call large systems which generally referenced our large POS vendors like NCR and IBM versus some of the components based POS companies that provide cash drawers and printers and scanners. I think there have been some peripheral purchases ala these pieces and parts companies that are finding ways to close some business and that’s more prevalent right now than large system purchases if that makes any sense. It seems like retailers are replacing pieces and parts that they have to rather than the entire system.
Anthony Kure – Keybanc Capital Markets: Finally, I don’t know if you normally comment on what the assumed tax rate is in the guidance for the upcoming quarter?
Richard P. Cleys : You were asking about the income tax rate?
Anthony Kure – Keybanc Capital Markets: Yes, for the guidance?
Richard P. Cleys : I think if you look at say 37.5%, something in that neighborhood that should probably be reasonable.
Operator: Your next question comes from Andy Young – Thomas Weisel Partners.
Andy Young – Thomas Weisel Partners: A couple of questions, you mentioned that some large orders coming back in North America, can you give us some more color on where this strength is coming from? Is that from [inaudible], vertical, manufacturing or some other verticals?
Michael L. Baur : I can say this, it was less point of sale and retail than we would have had historically. It was more our AIDC business which we don’t know exactly the deals but in general I would say it’s more industrial type opportunities which would suggest manufacturing and distribution.
Andy Young – Thomas Weisel Partners: Then the next question is about Europe, I think there is some confusion regarding the strength of the European economy. Can you give us some color on your view regarding your end market there in Europe and do things improve in the second half of this year?
Michael L. Baur : Well, I think we’ve had some disruptions in what we would normally fell and the way we would get our information I think because of these prices increases. We’ve had such substantial price increases that started in the March quarter, the first calendar quarter so I’m still not clear yet on is some of the problems we’re having because end users are saying, “Wow I’ll just sit this one out until these prices resolve.” Or, is it just that Europe is behind the US from an economic standpoint with our businesses. Again, our view is colored by the fact that these prices increases were substantial and yes, we benefitted on the bottom line but we would have much rather seen some improved growth and I think some of those deals and some of those opportunities have gotten delayed because of these price changes.
Andy Young – Thomas Weisel Partners: Can you elaborate a little about the price increase for your products? If you look at the US dollar it has been declining for the last few months and what’s the reason for the price increase over there?
Michael L. Baur : Well, the manufacturers made these decisions back in January and they started rolling out in March as Rich said. So, you would hope that will start coming back to the way but we haven’t seen it yet. I think in some cases it’s some specific pressures by certain manufacturers.
Andy Young – Thomas Weisel Partners: Then one final question about cash and you guys have done a great job in generating cash and preserving cash the last few quarters. Now that you have a net cash balance of almost $100 million, what’s your priority for the use of cash?
Richard P. Cleys : The number one priority is going to be growth. As our business grows, we start growing at a nice double digit rate again, we’ll be investing in inventory and receivables and that does use up some of that cash because that’s where it came from.
Andy Young – Thomas Weisel Partners: Internal growth versus acquisitions?
Michael L. Baur : Yes, I think primarily Rich is talking about internal organic growth but we have said all along that we are always interested in acquisitions. Right now the obvious place we want to grow both organically and potentially acquisitions are in Europe in our communication business.
Operator: Your next question comes from Gregory M. Macosko – Lord Abbett & Co.
Gregory M. Macosko – Lord Abbett & Co.: The price increases that you realized kind of in the fourth quarter, is there still flow through in to the first quarter as well from that price increase? On a sequential basis will you see more price increase in the first quarter?
Richard P. Cleys : The price increase where we went ahead and bought inventory ahead of the price increase, we bought the inventory in the March quarter, we turned that inventory by the end of June. The prices to the customer were changed in that March quarter at the end of the quarter so from a selling perspective it’s out there already, from a buying perspective, we were able to buy enough inventory to carry us through the June quarter.
Gregory M. Macosko – Lord Abbett & Co.: So there’s not a lot of sequential price increase in that guidance?
Richard P. Cleys : In terms of the top line?
Gregory M. Macosko – Lord Abbett & Co.: Yes.
Richard P. Cleys : Yes, you are correct.
Gregory M. Macosko – Lord Abbett & Co.: Then you talked about the large project in North America. Just looking at the mix of your expectation out there is it fair to say that you’re looking for something close to a traditional mix with large projects versus other?
Richard P. Cleys : I think Greg that our revenue guidance is showing some uptick but I don’t think this guidance is going to get us to where we would have been on larger deals a year or a year and a half ago. There’s still more opportunity for larger deals versus what we did a year and a half ago on top of these numbers.
Gregory M. Macosko – Lord Abbett & Co.: Then when you talked about the gross margins up front, you mentioned collecting on I guess aged receivables or something of the like and that added to your gross margin, is that correct?
Richard P. Cleys : Vendor receivables.
Gregory M. Macosko – Lord Abbett & Co.: And that’s complete?
Richard P. Cleys : Yes. I would look at that as really a onetime benefit.
Gregory M. Macosko – Lord Abbett & Co.: Should we look at the tax rate sort of going forward on a continual basis at around 37.5%?
Richard P. Cleys : I mentioned at the end of my comments that we had received a favorable ruling and that ruling should be an ongoing benefit that we’ll have going forward so the 37.5% should be a sustainable rate.
Gregory M. Macosko – Lord Abbett & Co.: So we’re not going back to 39% any time soon?
Richard P. Cleys : Well, if you can tell me when legislation is going to change I’ll give you that answer. But, if legislation doesn’t change, I think we’re pretty good.
Operator: Your next question comes from Eric Indy – First Pacific Advisors.
Eric Indy – First Pacific Advisors: In the past when you’ve discussed the issue of unfair competition from broad line resellers you’ve indicated that you were not going to be undersold of course you would draw value added services on deals like that. Is your attitude any different now than it was then?
Michael L. Baur : No, I don’t think it is. I think the reality of it is that when we’re struggling with how do we grow our revenue, we try to be very clear with our sales team back even in January that we didn’t want to take unprofitable business and historically we’ve said that we won’t lose market share. I would say since January we’ve had to really look at that really hard and try to understand does a vendor care if we lose market share or not and does a vendor long term prefer us to have what we call value added margins or not. I just think with all the new management changes at our vendors overall we’re just having to have those conversations. It’s never been our intent to lead a price war but we’ll be the fastest number too, I can tell you that.
Operator: I am showing no further questions.
Michael L. Baur : Thanks everyone for joining us. Our next conference call to discuss the September 30th quarterly earnings is expected to be on October 22, 2009. Thank you very much.
Operator: This does conclude today’s conference call. You may disconnect at this time.